Operator: Welcome to the Earnings Conference Call First Quarter 2019. My name is John, I'll be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. And I'll now turn the call over to Jason Stanley.
Jason Stanley: Thanks John, Good morning, everyone, and welcome to Tidewater's earnings conference call for the period ended March 31, 2019. I am Jason Stanley, Tidewater's Director of Investor Relations. I'd like to thank you for your time and interest in Tidewater. With me this morning on the call are our President and CEO, John Rynd; Quintin Kneen, our Chief Financial Officer; Jeff Gorski, our Chief Operating Officer; and Daniel Hudson, our Assistant General Counsel. For today's call agenda, I'll cover a few formalities and then turn the call over to John for his prepared remarks followed by Quintin's review of our financial results for the period. We'll then open up the call for questions. During today's conference call we may make certain comments that are forward-looking and not statements of historical fact. There are risks, uncertainties and other factors that may cause the company's actual future performance to be materially different from that stated or implied by any comment that we make during today's conference call. Please refer to our most recent Form 10-Q for any additional details on these risk factors. This document is available on our website or through the SEC at sec.gov. Information presented on this call speaks only as of today May 7, 2019 and therefore you're advised that at any time sensitive information may no longer be accurate at the time of any replay. Also during the call we will present both GAAP and non-GAAP financial measures. The reconciliation of GAAP to non-GAAP measures is included in last evening's press release. With that I'll turn the call over to John.
John Rynd: Thank you, Jason. Good morning from Houston everyone and welcome to the Tidewater call. March 31, 2019 marked the first full quarter with Tidewater and GulfMark operating as a combined company. The benefits of a larger fleet operating across an existing increasingly efficient global footprint are immediately evident, with revenues up 33% or 30 million from the quarter ended March 31, 2018. First quarter revenues were also up 11% or $11.9 million from the quarter ended December 31, 2018. Our worldwide active fleet utilization was up by approximately 15% compared to the same period year-over-year. For the first quarter active utilization rate remained high during a typically seasonally slow quarter at 80%, only slightly down from 82% level reported for the fourth quarter of 2018. The repositioning of several vessels in preparation for contracts that have now begun and several dry dockings that have now commenced also brought down the active utilization somewhat for the quarter. Taking a look at our operating results by segment, first quarter revenues were up for all regions year-over-year and revenue was also higher for almost all regions quarter-to-quarter sequentially. Most notably our North Sea and Mediterranean segment reported a revenue increase of almost 200% when compared to the first quarter of 2018, and an increase of approximately 40% from the fourth quarter reflecting the larger fleet and substantial market share growth resulting from the GulfMark merger. Due to the initial effects of improving day rates, first quarter vessel operating margin was up 40% from the fourth quarter of 2018 and 92% year-over-year. Our West Africa segment revenue for the first quarter was higher by approximately $2 million compared to the first quarter of 2018 and vessel operating margin was up by 76% over the same period. The reporting segment was not directly influenced by the GulfMark transaction but it is encouraging to see an underlying improving trend in the region year-over-year regardless. While revenue and active utilization dipped slightly during the quarter as compared to the fourth quarter, this was due to several vessels relocating to commence new contracts. New contracts commenced in Nigeria and Senegal among other locations and contracts where our entire fleet operating in Angola were renewed. Vessel revenues increased 35% or $9 million in our Americas segment for the quarter as compared to first quarter of 2018 and increased 11% or $3.5 million quarter-over-quarter sequentially. This increase was driven by the addition of 12 vessels to our active fleet during the period as a result of the GulfMark business combination. While our fleet size grew, our average tonnage specification and associated contract day rate mix changed resulting in a trend of lower average rates for the quarter than those reported during the first quarter of 2018. Our Middle East Asia-Pacific business segment experienced revenue growth year-over-year of 11% or 2 million. Vessel operating margin was also up by 44% over the same period and 32% from quarter-over-quarter sequentially. Average day rates trended down for the quarter, but three additional GulfMark vessels were introduced to this segment on new contracts resulting in net revenue improvement. Looking forward we're expecting to see continued stability or upward trends in all our reporting segments with a notable improvement in the North Sea utilization in day rates. While it’s typical to experience an increase in OSB demand in the region heading into the summer season, the sector has already experienced stronger demand far earlier in the season than we have seen in several years. Toward the end of the first quarter spot rate rose to the highest level since 2014 and both spot and term rates continue to rise as a result of increased drilling activity and despite several reactivations, a tightening of vessel availability due to a number of vessels departing a region to support other projects. From the beginning of the year through the end of May, market sources estimate that at least 12 vessels are expected to be parting North Sea for work in West Africa and Russia. While additional vessels are expected to enter or return in the market in time for the summer season the consensus that – there may be a net reduction in supply this season. This also assumes that OSV operators remain disciplined and do not reactivate excess tonnage on a purely speculative basis. This is potentially a significantly different scenario from last season, where a total of 34 vessels were reactivated or returned to the market greatly lending rate increases that would have otherwise developed. With our post merger position as one of the top two OSV operators in the North Sea, we are well positioned to significantly benefit from the upside anticipated this season. In certain regions that demand for OSV is outfitted with battery upgrades to reduce emissions and power requirements under certain operating conditions have increased and the North Sea in particular is leading this demand. I'm pleased to mention that we've recently entered into a multi-year long term contract extension including battery upgrades for two of our vessels operating in Norway for Equinor. I'll also highlight that we continued to experience and overall improvement in West Africa. Activity in Nigeria continues to improve and available OSV supply is expected to tighten. With Nigeria's increasing demand the country's absorbing available supply along the West African coast. Several OSV operators in the region also lack sufficient liquidity to complete special surveys. So this is expected to drive some additional attrition in the near term at least in further tightening supply. In our American segment, we expect stability with some moderate rate in utilization improvements as a result of both seasonally higher activity and OSV availability tightening in the Gulf of Mexico. As we mentioned during our previous earnings call and as several industry analysts and our peers have recently mentioned, a significant amount of tonnage must complete regulatory drydocking this year. And the Gulf of Mexico has one of the largest populations of vessels coming due. We anticipate this may drive vessel attrition through the year as OSV owners elect to stack vessels in lieu of investing the capital to complete the surveys. Mexico is expected to remain stable through the next quarter or so, with our strong local presence in country for over 50 years and the number two market position, we're well-positioned to address the potential upside we may encounter towards the latter part of 2019 or early 2020. Our customers continued to report record cash flow levels and despite some volatility commodity prices have remained well above breakeven levels required to support further offshore developments. Shell continues to be the primary competitor for our customers capital budgets, but as offshore costs have steadily reduced investing in offshore exploration and development for access to typically far larger and longer producing fields is modestly increasing once again. FIDs are expected to continue to increase from record lows over the past several years and there is report about number of our drilling contractor peers, drilling demand is increasing through 2019 for both jackups and floaters. These are all positive factors that will further drive demand for OSV services. However, the steepness of the recovery curve for the OSV sector will be highly dependent on whether owners begin favoring building backlog over vessel reactivation. During our last call, I mentioned that we have made the commitment to reactivate 10 vessels with this decision being underpinned by sound financial drivers. Five of these vessels have completed the reactivation process and are now on contract. The remaining vessels will complete their reactivation work over the next few months to meet the contract commencement timing. Following the reactivation already completed or that are in process, we continue to maintain a sizable fleet of 26 Tier 1 vessels in line for reactivation in our stacked fleet. The vessels are increasingly included in discussions with our customers as new opportunities present themselves that support the necessary economics to justify reactivation. With regard to the remaining portion of our stacked fleet, our team has made considerable progress towards meeting our ambitious stated goal of selling our recycling 40 additional uncompetitive older lower specification vessels from our stacked fleet by the end of the year. 16 vessels were sold in the first quarter and year-to-date we have sold a total of 28 uncompetitive stacked vessels with the majority of these vessels going to recycling. As we work to divest on uncompetitive assets, we continue to evaluate asset acquisition opportunities with the objective of further high grading the Tidewater fleet to ensure best suitability for our customer’s needs and the greatest potential for return on investment for our shareholders. The activities we've taken to upgrade our fleet have also included targeted investments in software and technology with the objective of improving efficiency and maintaining uptime. To-date over 50 vessels in our fleet have been outfitted with fuel management systems, providing our operations teams and customers with clear and reliable data on fuel consumption which is a key metric that can be used to plan for more efficient operations and potentially reducing emissions. Before I hand the call over to Quintin to cover our financial results for the quarter and to provide some updates on our merger synergy progress, I will reiterate the strength of our position in the sector and our dedication to maintaining this position as the market continues its trajectory upwards. A high quality fleet, global footprint, substantial cash balance and the strongest balance sheet in the sector continue to position Tidewater to act swiftly to meet customer demands and to maximize shareholder returns in an improving market. Quintin?
Quintin Kneen: Thank you John, and greetings everyone. We are pleased with the financial results for the quarter. The 10-Q and the press release have the predecessor or successor of presentation removed, as we go through the year we will be simplifying the presentations and disclosures with the objective of making it easier to read. If we remove something you're interested in please give us a call. Simplifying things a bit further there were no impairments in the quarter. Overall a solid first quarter based on the current state of the market. We remain focused on the fundamentals of our business and dedicated to the fundamental investment characteristics of maximizing free cash flow and maintaining capital discipline. We did have charges in the quarter related to the merger of approximately 3.7 million and all but approximately 900,000 of that charge was non-cash. You may recall from the last quarter that this pertains to severance costs associated with the merger and relates principally to the accelerated vesting of stock grants. My objective today is to give you a quick summary of Tidewater's results and to give you an update on our progress of integrating the two companies ERP systems. Consolidated revenue for the quarter was 122.1 million up approximately 12 million from the prior quarter. The two fundamental components driving the increase in revenue were a nice 3% increase in average day rates up $261 per day to 98.06 and the increase in fleet size due to the merger. This quarter marks the first quarterly increase in consolidated average dayrates in the past five quarters and we are optimistic that it will be the first of many quarters reversing the longer term 22 quarter trend of decreasing average dayrates globally. Active vessel utilization was down sequentially, down approximately 243 active vessel days or approximately two percentage points of utilization. This decrease was driven by 11 vessel mobilizations during the quarter and an increase number of days and drydock for the first quarter as compared to the last quarter. We see both of these investments as enhancing profitability in future quarters. The first quarter is also typically the lowest quarter of the year in the North Sea due to weather. And we do anticipate improving utilization rates throughout the world for Q2 and the remainder of 2019. And we are optimistic that based on tendering activity that 2020 will be even stronger. Active vessel operating costs for the quarter was up 7.2 million driven by a full quarter of additions to the active fleet from the merger. The quarterly average active vessel operating cost per day was [54.27] an increase of $10 per active day from the fourth quarter. The cost per active day is in line with our expectations for the newly combined fleet and where we anticipate vessel operating costs to be for the remainder of 2019. Recurring, general and administrative expense was 23.4 million down approximately 900,000 from the fourth quarter comparable figure of $24.3million. Those amounts exclude merger related expenses. The Q1 annualized run rate of $93.6 million is down from the Q4 annualized run rate of $97.2 million. We still have some work to do to get down to our updated 2019 exit run rate objective of $87 million. We are taking steps every day to reduce headcount, professional fees, travel and other G&A costs. And we are confident that we will meet our lower run rate objective. As it pertains to G&A, approximately 60% of the expense relates to labor costs, approximately 15% relates to professional services, another 15% pertains to offices and facilities and the remaining 10% pertains to public company costs and other miscellaneous costs. Our ERP system rollout has been in process since the day of the merger but will be in full swing over the summer. Our systems are set to be consolidated on October 1. We see no impediments to achieving that objective. The ERP system consolidation is the last piece of the merger integration but it won't be the last improvement in efficiency in the scalability. The new system will enable further improvements to shore base efficiency and scalability as we go through 2020 and beyond. We will have additional merger related costs throughout most of 2019, less related to severance costs and more related to professional service costs as we go through the remainder of the year. We will continue to call them out as we have in the past few quarters but their insignificance is such that we don't have any related guidance for the second quarter. The cash balance at the end of the quarters was $398 million, up 300,000 from the prior quarter. For the first quarter of 2019, the company was free cash flow positive in the amount of $8.5 million, approximately $1.5 million was used to repay principal. Net cash interest expense was $5.8 million and 900,000 was paid in cash merger costs, which all totaled results in the $300,000 change in cash for the quarter. Our objective is to further increase cash flows as we go through the remainder of 2019. We will maintain our strict working capital and capital expenditure discipline. Our objective is to maximize cash flow each and every quarter. As John mentioned, 2019 will be a heavy dry dock year for us and for the OSV industry as a whole. Incremental investments in our vessels will undergo a business case review before we commit to the spend and we will continue to rationalize the fleet and lay up to maximize long term value. We continue to divest non-core vessels, similar to our capital expenditure discipline our capital divestitures will also go through a point-of-sale review. If our view on the long-term market for vessels slated for divestiture changes, we will reassess our divestiture program. Currently we have no plans to scale back the program for 2019. As we look to the second quarter of 2019, we expect the second quarter will bring a further incremental improvement in revenue. The second quarter will likely see a use of cash overall due to the timing of certain working capital obligations such as drydock payments and some calendar year seasonality in our routine annual payment obligations. We may be cash flow negative in the second quarter due to these factors but even with our heavy 2019 drydock schedule, we still anticipate being cash flow positive for the year. And with that I will turn the call back over to the operator to open it up for questions.
Operator: [Operator Instructions] Our first question is from Turner Holm from Clarksons.
Turner Holm: Hi, John, Quintin and Jason, I wanted to touch on the recent market developments in the North Sea and to some degree in other markets, I guess the question is, to what degree those improvements and those markets might be expected to be more reflected in Tidewater numbers. I'm just looking at what you reported in the deepwater segment for the first quarter, which I believe is just about over $11,000 a day. And then you reference some day rates on the [term in the spot] [ph] in your prepared remarks and then I guess Quintin also mentioned that they're expected to see a bit higher revenue in the second quarter. But any more visibility on the impact and timing of those leading edge day rate improvements would be appreciated.
John Rynd: I think you'll see the second quarter start to really reflect more of a full quarter of the activity levels in the North Sea. And I think we're, as we talked to where our spot rates are and term rates are, there's been a very nice move off bottom. Also in the second quarter, as we mentioned in the prepared remarks, we will relocate some assets in West Africa, specifically Nigeria. So we'll see, not the full quarter but we'll have a good second quarter impact of our increased activity in Nigeria, specifically. 
Turner Holm: I think, I wanted to just touch as well on something that Quintin mentioned in his prepared remarks about tender activity seemingly indicating better demand if I understood you correctly in 2020. Could you flush that out Quintin?
Quintin Kneen: Well relative to what I've experienced in the last several years, we're seeing much more increased tender activity and people forecasting much further along in their investment horizons, means not just the number of FIDs that have been increasing I think that's been publicly acknowledged. But we're getting more and more commentary from our customers about what is the forward plan for vessels. And to me that a really good sign that the industry as a whole is tightening up, the OSV industry is tightening up. They're coming to us much further in advance of the use and utilization of the vessels which to me always indicates improving market as we go through the year.
Turner Holm: And on that I guess there was a rig contractor last week that had a sort of a highly talked about rig contract multi-year in Africa and there seemed to be some perception in the space that the rate was perhaps lower than what some might have liked. How do you think about balancing that sort of longer term visibility and versus the rates that you're able to achieve today?
John Rynd: No that's a good question. I think we view the fleet contracting strategy as a bond portfolio. So we'll keep part of fleet short, part of the fleet term mid-term and then selectively go long on certain assets in certain locations.
Turner Holm: Sure. I guess you're not looking to lock up things that are currently low rates for many years, at least not most of the fleet that's what it sounds like.
John Rynd: Yes and also you're also subject to what your customer wants. If he wants a five year contract and it's that or nothing or a two year contract that or nothing, you have to play, but I think you have to when you sit down to price that opportunity you have to take into consideration where you think the market is moving in price accordingly.
Turner Holm: On the Gulf of Mexico, one of the public OSV companies talked about last week an expected ramp in activity in that wider region including northern South America and Mexico and potentially a ramp in day rates as a result. Is that a view you all share?
John Rynd: Yes I think that it's kind of we had, we touched on the prepared remarks when we talked about the Americas segment. We see rising demand for the next year or two years in Mexico. We know what's going on in the Caribbean. You're going to pull some U.S. Jones Act vessels out of the U.S. Gulf of Mexico to meet some of that demand, which could further tighten the Gulf of Mexico. Yes so we agree with that other public OSV provider.
Turner Holm: And then maybe one more for me. Quintin, the due from affiliate and due to affiliate balance has been a lot of changes in those over the last couple of quarters. The balance is coming down. Is there any update you can provide with your new CFO role how you're looking at that, that that piece of the balance sheet?
Quintin Kneen: You know this is something that we've had ongoing dialogues with our partner on for several years. We had some very constructive dialogues in the first quarter and we anticipate having some very constructive dialogue in the second quarter as well. You may note that we took an impairment in Q4 and that was based on those discussions, and as I sit today, I feel very comfortable with the collectability of those balances over the long-term and we'll work to structure a more formal relationship with our partner as we go through the remainder of 2019.
Operator: [Operator Instructions] And I'm seeing no further questions at this time.
Jason Stanley: Okay. Thanks, John. Thank you everybody for your interest in Tidewater and have a great day.
Operator: Thank you, ladies and gentlemen. That concludes today's call. Thank you for participating and you may now disconnect.